Operator: Good day, and thank you for standing by. Welcome to the Dassault Systèmes 2021 Fourth Quarter and Full Year Earnings Presentation Call. [Operator Instructions]. I would now like to hand the conference over to your first speaker today, François-José Bordonado. Please go ahead.
François-José Bordonado: Thank you, Nadia. Thank you for joining us on our fourth quarter and fiscal year 2021 earnings conference call with Bernard Charles, Vice Chairman and CEO; Pascal Daloz, Chief Operating Officer; and Rouven Bergmann, Chief Financial Officer. We will also join us Tarek Sherif, Chairman Dassault Systèmes Life Sciences and Healthcare. Dassault Systèmes results are prepared in accordance with IFRS. Most of the financial figures discussed on this conference call are on a non-IFRS basis with revenue growth rate in constant currency unless otherwise noted. Some of our comments on this call contain forward-looking statements, which could differ materially from actual results. Please refer to today's press release and the Risk Factors section of our 2020 Universal Registration Document. All earnings materials are available on our website, and these prepared remarks will be available shortly after this call. Bernard, the floor is yours.
Bernard Charles: Thank you very much, François-José. Good morning and good afternoon to all of you, and thank you for joining us. It's always a pleasure to review our full year results with you. We had an excellent 2021 year with a strong finish to the year. The total revenue rose 11% for the year, driven by a broad-based demand across our end markets, the majority of which are growing double digit, by the way. Our strategic growth drivers performed well. 3DEXPERIENCE Revenue increased 15%, with cloud revenue rising 23%. Our 3DEXPERIENCE platform has been a competitive advantage, driving new client wins. The cloud is about inclusiveness and providing additional value to clients. Earnings per share increased 26%, thanks to good revenue growth and high profitability. For 2022, we have set the target for 9% to 10% top line growth. As you can see, we have delivered very good results, but more importantly, we have the key elements in place to support sustainable growth. Our technology are changing the game for clients across our 3 major sector of the economy. We are expanding our footprint, deepening existing partnerships and adding new clients. We have invested in our team, establishing the next generation of leaders. The stage is set, therefore, for a good future. Now I'd like to share some perspective on our vision and strategy for the coming years. You remember 10 years ago on February 2012, we unveiled a new brand identity for our company, the 3DEXPERIENCE company on our corporate purpose, built around harmonizing product nature on life. Today, the significance of our strategy is clear. Our clients and partners have embraced the experience economy. They are transforming all sectors and industries with sustainability on human centricity as central pillars of a new era. The experience economy accelerated by the pandemic, triggers new categories of expectations clearly from citizens, passion, consumers even workers. This is apparent in our everyday life. Tomorrow's mobility is no longer a matter of vehicles. It's a matter of desirable, sustainable mobility experiences. Tomorrow's healthcare is much more than therapeutics. It's about the passion journey on precision medicine. Tomorrow's cities are not only a collection of building, streets and facilities. It's about quality of life on quality of service. As a consequence, all our clients need to reimagine their offer. Our answer is the systematic use of virtual twin experience based on modeling, simulation and real-world evidence in this merger between the virtual and the real world. Our ambition, therefore, to help our client imagine, create, produce experiences for their own clients. Unlike Metaverse, we use virtual world -- 3D virtual world experiences to improve the real world, only then the possibility of harmonizing product nature on life will emerge. I believe that innovators of tomorrow's, and we see them, I have to think in terms of universe is there, that is to say in terms of organic systems of systems that create, produce and play experience in a circular economy. With the 3DEXPERIENCE platform, we are creating this. If we look, we can provide this holistic view combining value creation and value experience, design and usage to cover the full experience life cycle. We can extend virtual twin experiences across universes. It's about continuity of the what the offer, the how, how do you make it and the use of it by people. This is a new revolutionary approach to innovation. It's in some way the next generation of PLM. As we have done in the past with the early adopter, we will pave the way for the future across the 3 sectors of the economy we serve. Let's quickly look at implications, for example, in life sciences. Clinical research has moved beyond the hospitals and labs. As more and more technology is used to decentralize trials, the entire clinical trial experience is transformed for all people involved. Patients can now participate in a trial from anywhere, especially from home. Doctors and researchers can now collect more data in different ways. If we connect the dots across clinical trial data, real-world data on research and development, we can close the loop and make precision made the scene a reality. As a consequence, elevate the patient journey. Dassault Systèmes will be the only 1 capable of supporting end-to-end solution in life science. The ongoing advancement towards a sustainable economy will mark this century also. We can reveal some of the dynamics we see progressing. I think it's clear that our passion for science-based people center innovation and the commitment we have for our very loyal clients is really a catalyst of that transformation. Let's have a few illustration of how we are enabling such kind of transformation today. And I think from there, you will see a lot of good reasons to believe. In the consumer industry, we have a very successful partnership with IKEA. With the 3DEXPERIENCE ByMe Platform, Kitchen Planner on the cloud, IKEA is enabling customers to use virtualization to design their own dream kitchens. The pandemic has led individuals to invest in their homes and has acted as an accelerator for e-commerce. The 3DEXPERIENCE ByMe Platform Kitchen Planner has allowed IKEA to take full advantage of these trends. In some way, the ByMe Kitchen Platform was used by 1 million people only a few months after being deployed. And today has reached over 4 million users, making it the most popular 3D consumer application in the world. This is the cloud advantage, but it's also the mobile advantage. In mobility another sector of the industry purely it is pursuing -- is pursuing increasingly challenging goals in terms of sustainability, working on innovative materials on cutting-edge production processes. They have selected smart tires on the 3DEXPERIENCE platform. They will leverage the capability of the virtual twin to foster innovation, reduce cost, increase circularity and, of course, reduce time to market through simulation modular design. It's great to be part of Pirelli's adventure to move everyone forward through technological curve on social progress.  In the health care, I could take the example of Perrigo because the healthcare affordability is becoming essential. Today, the cost of healthcare is growing twice as fast as the overall economy. Perrigo, 130-year-old company, has been improving patient lives with affordable self-care products. The company is deploying several of our solutions. For example, license to cure, perfect formulation, perfect package on our 3DEXPERIENCE platform. As you noticed, you are not describing the function, we are describing the value even in the way we name our solutions. Their goal is to increase efficiency, quality and time to market. We are very pleased to help Perrigo have this positive impact. I guess they are very positive, too. Now you have some proof points. It's plain to see virtual twin experience is powered by the 3DEXPERIENCE platform are helping all our customers evolve and transform. We recently celebrated our 40th anniversary at Dassault Systèmes. 2 generation of innovators have revealed the power of virtual works to imagine, create disruptive innovation, and this is a fact in all sectors we serve. Now we are focused on our next horizon 2040. Our objective is to do -- is to be the leader of -- in sustainable innovation and to continue to position our clients at the one grant of progress across manufacturing industries, life science and healthcare as well as infrastructure and cities. To support our long-term initiatives, we have established the next generation of executive leadership. I'm so happy to have Pascal Daloz now fully focused on his mission as Chief Operating Officer to connect all the dots on elevate and expand the value we provide to our clients and power a new generation of leaders along the lines that I just described. At the same time, I'm equally delighted to welcome Rouven Bergmann to the Executive Committee of Dassault Systèmes as Chief Financial Officer. Rouven has played a critical role in integrating Medidata. He has held as COO and CFO title, and brings a mastering of financial matters related to software on cloud business model. Rouven, it's wonderful to have you here. Thank you for being here, giving us more time to meet with customers. Ultimately, all progresses human investing on our people and culture is at the core of what we do, our M&A activities are driven by both innovation capabilities as well as talent. And as you all know, after many years of observing Dassault Systèmes, it has always been essential for us. We are focused on enabling teams to transform reveal talent. When we acquired Medidata in 2019 just 2 years ago, Tarek and his team actually with grant his body created this incredible reason to believe that we could have a future together. I'm extremely proud of the significant innovation, strong culture and leadership Medidata has brought to the life science sector. We have been able to integrate, scale rapidly, accelerate growth and deliver excellent results and above all have fun being together. It's a great pleasure now to have online, Tarek, by body, who is now the Chairman of the life science sector on descale for Dassault Systèmes. And Tarek, would you like to say a few words?
Tarek Sherif: Thank you, Bernard. It's -- thank you for the kind words. And it's really a pleasure to be with all of you today in my role. It's been a few years since I've been on an earnings call. And as you say, it's a lot of fun. So it's been more than 2 years since we announced coming together. And honestly, I can't be more excited about what we've been able to accomplish and the progress we've made since that time. It's been an incredibly challenging environment. As you all know, integrations are never easy, and doing it on a global scale is even more difficult and then doing it in the midst of a pandemic is even more difficult. But I would say that the integration has been a tremendous success. And I really want to thank Bernard and Pascal for all the support that they have given us and our teams. And I'd like to also thank you our teams who have come together, focused on creating value for our customers and ultimately for patients. Our teams are delivering amazing innovation and execution to advance clinical trials and new treatments for patients during what's been an unprecedented time. And it feels like we're just getting started given the tremendous opportunities that we see ahead of us. Our impact on improving the patient experience and scaling precision medicine has never been clearer. At the end of the day, it's what Glen and I always dreamed about, and we're convinced we would be able to do one day, and it's what brought us together as organizations in the first place, and it's becoming a reality. As many of you know, we suffered the tragic loss of Glen de Vries, my best friend and our co-founder, late last year. He helped transform our industry and his vision has always been an inspiration for all of us. Glen helped set the highest standards for Medidata, and he drove us to innovate and solve the most complex problems with energy and creativity. And I am absolutely convinced that we will pursue progress in life sciences and healthcare with the same passion that he had. And we have an amazingly strong team to support that. By continuing to do everything we can do to support the business, we are honoring Glen's legacy, and we will ultimately ensure healthier lives for patients everywhere. We have a strong leadership in place today and they will help carry us into the future. And together with Bernard and Pascal and now Rouven, I share the conviction and confidence in our promising future. I want to hand the call back to you, Bernard.
Bernard Charles: Thank you, Tarek. Thank you, my friend, for your leadership and also the incredible moment we had all of us together when we decided less than 1 hour that the future was together, and that was only 2 years ago. So I am also confident that we can make the difference. And we have now an incredible connection between people and tremendous opportunities to provide great solutions for our customers. So with that, Pascal, you have the floor.
Pascal Daloz: Thank you, Bernard. Hello, everyone. I hope you are doing well, and thank you for joining us today. So turning to our financial results. The strong business momentum we experienced throughout the year continued into the fourth quarter, resulting in a performance well aligned with our guidance. So let's start with the Q4 top line year-over-year comparison. Total revenue grew 10% to EUR 1.370 billion, above our 7% to 9% range. The software revenue also grew 10% and all organically. License and other revenues rose 15% to EUR 348 million, well above the guidance, and we are back to 2019 levels. Subscription and support revenue increased 8%, driven by the high double-digit subscription growth, reflecting strong Medidata performance but also the 3DEXPERIENCE momentum. And the recurring revenue represents 72% of the software revenue. Zooming on services. Services was up 10%, and we achieved a services gross margin of 27.1%, substantially better compared to last year, and it's coming mainly from the effort we made to improve the efficiency when we were in the middle of the pandemic, I would say, 18 months ago. From a profitability standpoint. In the fourth quarter, we delivered a Q4 a strong operating margin of 36.8%. This was well in line with our guidance of 36.4% when taking into account the currency impact of 40 basis points. EPS grew 17% to EUR 0.29 compared to our guidance of EUR 0.27 to EUR 0.28. Few words on the headcount. It's an important topic. I know you have questions usually on this. So in terms of headcount, we are well aligned with our objectives. We saw a strong hiring activity again in Q4 and lower attritions. And overall, headcount grew 4% and research and development was up 6%. So I think given our track record of innovation and our mission-driven culture, we are confident in our ability to continue to attract and retain top talent over the mid to long term. And this is still a priority for 2022. Let's just take a deep dive into our revenue performance first and let's zoom on the software revenue by Geo. The Americas grew 7% during the fourth quarter, driven by solid subscription growth, which is definitively a key trend in North America. In 2021, the regions benefited from strong performance in High Tech, Transportation & Mobility and Life Sciences at large. And now Americas represent 38% of the total software revenue. Europe increased 10%, thanks to a strong resiliency throughout the regions. And in 2021, Transportation & Mobility and Industrial Equipment grew double digit. Europe represented 37% of software revenue in 2021. Asia rose 12%, driven by market expansion in Japan, India and Southeast of Asia. And in 2021, China grew 19% and Asia at large, represent 25% of the software revenue. Let's say a few words on the product line performance. Industrial Innovation software revenue rose 8% to EUR 682.3 million in Q4. This growth has been driven specifically by SIMULIA and DELMIA, where the growth is exceeding the double digits, and it's mainly due to a large part to large client wins we did in Q4. ENOVIA showed also a strong subscription growth, which is again a new trend. And I think the subscription model is relatively suitable for all the collaborative set of solutions we have. And CATIA finally is back to 2019 levels. So I think we are, again, on our trajectory. Life Sciences software revenue reached EUR 245.1 million in Q4, an increase of 9%. Medidata grew over 15% on the back of a strong comparison base, if you remember. And we continue to see a very good momentum across the Medidata portfolio, including Medidata Rave, the core products; Medidata AI, the diversification in the analytics and artificial intelligence; and Medidata Patient Cloud, which is the factor standard for the decentralized clinical trial. This momentum is also visible in all the -- across the end markets we are serving. So not only the pharmaceutical and biology companies, but also the contract research organization and the medical devices company. So we saw high double-digit growth in attach rate against this quarter, which is extremely important because not only we are capturing new customers, but we are growing inside those customers. From a product line perspective, we saw strong Medidata performance was partially offset somewhat by a lower-than-expected BIOVIA revenue. This was driven by the delay of 2 large renewals, but we expect to sign both renewables during the first half, so it's really a temporary impact. If we step back a little bit, we are 1 year after we have decided to create the life science engagement model, which is nothing more than combining all the different capability and resources we have to address this market. And this has been done through the leadership of the Medidata management team, especially Michael Pray. And for that, Michael, thank you. You did extremely well. And now we are confident that this being in place with the strategy we have to provide life science industry and end-to-end solution that connect dots between ideation, development, manufacturing, commercializations, almost what we did in other industries like aerospace, decades ago, I think it's pretty unique on the marketplace, and we will make the differentiations. Moving now on to the mainstream innovations. Software revenue rose 14% to EUR 312.2 million in Q4. SOLIDWORKS, first, delivered a strong result with software revenue growing high single digits, and we continue to see adoptions of our 3DEXPERIENCE WORKS family, the cloud-based solutions during this period. Centric PLM is performing extremely well, with high double digit, I should say, close to triple-digit revenue growth. And not only it's delivering the numbers, but in terms of KPIs, we are now reaching more than 550 customers, representing more than 4,500 brands and with an extremely high level of satisfaction. Not only it's true in the fashion industry, but since almost 2 years, Centric PLM thanks to Chris Groves, is expanding into new verticals such as food and beverage, cosmetics and personal care and other customer consumer segments. So again, very pleased by this move, and it's paying off. Good result is also when the strategy is working. And as you know, we have 2 KPIs to measure this. The first one is the drag coming from the 3DEXPERIENCE and for the full year. For 2021, the 3DEXPERIENCE revenue rose 15%, driven by strong subscription growth. And now it accounts for 30% of the total software revenue, which is an increase of 200 basis points compared to last year. In 2021, the cloud revenue, which is the other one, KPIs we are monitoring, increased 23%, driven by the continued length in life sciences, of course, but not only, but also and more and more by the 3DEXPERIENCE. And cloud now account for 20% of our software revenue, up 200 basis points compared to last year. All the clients we have across all the sectors are transforming extremely rapidly, and they are turning to Dassault Systèmes to help them to adopt new business model, accelerate innovation, embracing sustainability imperatives, putting consumer patient and citizen at the center of experience. And our strategy is really to enable them those transformations with cloud-native applications or cloud extension to an existing on-premise investment, and our 3DEXPERIENCE platform has been developed to make both. All those good results is also -- are also reflected into the cash flow. And for the fiscal year 2021, the cash flow from operations rose 30% year-over-year to EUR 1.613 billion, which is converting 33% of the revenue to operating cash flow. Cash reached a little bit less than EUR 3 billion, EUR 2.980 billion, an increase of EUR 831 million versus an increase of EUR 204 million last year. And finally, our net financial debt position at the end of the year decreased by EUR 1.152 billion to less than EUR 900 million to be precise, EUR 890 million. And it has to be compared with EUR 2.04 billion we had in December 31 in 2020. This, in the net, is putting us a year -- more than a year, in fact, ahead of our schedule on our deleveraging objectives. Now to discuss the 2022 objectives, I'm very pleased to introduce Rouven Bergmann, our new Chief Financial Officer. And as Bernard mentioned, Rouven has played a vital role in integrating Medidata and it has been a real pleasure to work together for the last 2 years, and it's a successful partnership, I think. So Rouven, we are delighted to have you with us. Rouven, you have the floor.
Rouven Bergmann: Thank you, Pascal, and hello, everyone, also from my side. And before I would start to outline the financial objectives for 2022, I also want to share that I'm thrilled and very happy to be here today with you in this new role. I really enjoyed the opportunity to meet with some of you already and learn from many colleagues at Dassault Systèmes, in particular, you, Pascal, since the acquisition of Medidata, which, as you know, is completed more than 2 years ago. And now with the successful integration, I'm looking forward to getting to know all of you and the broader investment community during this year. And I know we already have concrete plans to do that. So with this, let me turn to the full year financials for 2022, our financial objectives. As discussed, we expect the broad-based dynamics we experienced in the fourth quarter and 2021 to continue into 2022. We are focused on driving durable long-term growth. Our growth drivers are well established as highlighted by Bernard and Pascal. First, we are enhancing our leadership position across our major brands. Second, we are accelerating the momentum with 3DEXPERIENCE and industry solution experiences, and we are winning new customers as well expanding within our installed base. And third, we are focused on delivering new experience and value with cloud. So we will continue the momentum of Medidata and Medidata Patient Cloud. We will also expand the user base with the 3DEXPERIENCE WORKS family in the mainstream market and deliver new value at scale with large enterprise partnerships like what you see happening with Renault or Bouygues Construction. Now with this in mind, we are targeting for full year 2022 total revenue growth of 9% to 10% and software revenue growth in the same range. When thinking about our software revenue growth, let's keep in mind that last year, we had a very strong year of license growth at 23% year-on-year, which brought us back ahead of 2019 levels. And now for this year, we expect to continue healthy double-digit growth at around 10% of up to 12%, which reflects continued strong demand within our installed base. This trend is more in line with what we saw in our performance in the fourth quarter. We anticipate recurring software revenue to increase by 9% to 9.5% and an acceleration of 100 to 150 basis points versus last year, driven by continued momentum in subscription growth with cloud with solid improvement in support revenue, also resulting from the very good license growth we experienced throughout last year. For services revenue, we are projecting to grow between 8% to 9%, reflecting the increased activity levels of delivering innovation to our clients across all segments with solid margin performance. From a profitability perspective, this past year, we demonstrated the long-term scalability inherent to our business model. As we said throughout 2021, we plan to accelerate investments into our business and reengage in activities, which were impeded by the pandemic. Accelerating the growth in our workforce, in line with our long-term plan is our top priority. And as such, we anticipate the non-IFRS operating margin to be in the range of 32.7% to 33.1%. Again, this is consistent with our prior communication. Now let me continue with our proposed objectives for earnings per share. We expect non-IFRS EPS to grow between 3% to 6%, reaching EUR 1 at the high end. This EPS guidance assumes a tax rate in line with 2021 levels of about 23.2%. Our financial objectives assume a euro to U.S. dollar conversion of $1.17. Now I will provide some additional color on what to expect for Q1. As you are aware, our business has some seasonality, and we expect to see growth rates progressing throughout the year. We expect Q1 total revenue growth of 7% to 9%, with software revenue increasing in the same range and services revenue up 5% to 7%, driven by continued broad-based momentum across our Geos. We expect the operating margin at the range of 32.3% to 33%, with an EPS growth of 3% to 7% versus last year. As you heard from us during this call, we are confident in the long-term opportunity ahead, and we look forward to keeping you apprised of our progress throughout the year. And now Pascal, I'll hand the call back to you.
Pascal Daloz: Thank you, Rouven. To summarize, I think the stage is set for the future growth. On one hand, our long-term strategic vision has been validated. Investment we made 10 years ago to a net; the experience economy are paying off. And whatever you take the platform, the virtual twin experiences, the industry solution we have in the cloud, they are durable competitive advantage. In parallel, that's what Bernard said, we are helping our clients also to transform to a sustainable economy. And this is becoming an affordable and significant opportunity to deepen and expand our partnerships and our impacts. This, if you combine the 2, will be a strong secular drivers to underpinning growth across all the 3 sectors of the economy we are serving. In addition to this, I think we have the right leadership in place to execute against the tremendous opportunity before us. And we -- our commitment to clients to drive our strategy will continue, and we thank them for their continued trust. So finally, I think Rouven and I will be extremely pleased to see you in person when we will have the ability to go back on the road, but I think it has been so long when we haven't seen each other. I think Bernard, Rouven, it's Tarek, of course, you -- may be the time to take the questions.
François-José Bordonado: Operator?
Operator: [Operator Instructions]. The first question comes from the line of Nicolas David from Oddo BHF.
Nicolas David: My first one is regarding licenses growth. You anticipate double-digit growth of licenses in 2022. So for the second year in a row. So congrats on that because I think that, that was an ambition to sustain growth -- the positive growth of licenses. My first question is, do you think that such growth is sustainable beyond '22? And if so, also, do you think that this improved growth trend in licenses is more linked to the momentum of your product cycle, so internal to the company, or more linked to the consequences of the same increases we just were leaving right now, and it's more a macro impact you are benefiting off? And my second question is still regarding licenses sales, several software players, including some of your competitors mentioned that the difficulties the clients have had in hiring have led to some delays in launching projects and having negative impact on license sales. So my question is, to what extent you may have this kind, you may suffer from this kind of impact regarding your license sales in the coming quarters?
Pascal Daloz: Rouven, you want to take the first one?
Rouven Bergmann: Yes, happy to. Happy to. Yes. So I think the best way to conceptualize this -- Nicolas, thank you for the question. Yes, we had in 2021, very strong license performance with 23% for the full year. Of course, this was versus a lower comparable base in 2020. Q4 of 15% growth against, I think, a good comparability. In Q4 of 2020, we saw the rebound starting to happen. And so it was a real proof point for us in the fourth quarter to achieve double-digit growth. And that trend is what we continue to forecast into 2022 with 10% to 12%. And I think the sources of growth for -- that supports that underpins this assumption is that we have well established an operating model between CapEx and OpEx for our customers. We are serving industries where we have significant installed bases that are transforming to the cloud to the subscription model, but it will take time. And we are committed to support our customers and support them in a way where their preferences are in terms of how they want to spend and make the investments. These are very sticky investments, very long-term relationships where our customers are capitalizing on their investments for decades that we continue to innovate and further drive value. And I think with the 3DEXPERIENCE and the Power'By extension that we deliver, we make these investments also really valuable and ready for the future.
Bernard Charles: On the second part of the question, Pascal, if I may, on -- is the client hiring challenge having an impact on our license, we see the total opposite way because the nature of our audience is changing. For years, we have been -- and we continue to focus on engineering, production. But now with the 3DEXPERIENCE platform, we also reached supply management, costing on many other functions within the company. The example at Renault is really amazing in terms of size at Toyota Motor also and many other clients that I could name. So the intent with the platform phenomenon, the 3DEXPERIENCE platform, is to reach audience that we could not reach before. As a matter of fact, the 3DEXPERIENCE collab, collaborative environment, is now being used by clients to evaluate materials, cost, weight, supply efficiency, all based on the 3 universe, not on number of dashboards, but on the real product itself of all the way you produce it. So we see this as a long-lasting growth factor. And Pascal mentioned that it's noticeable in -- even with our business applications that we call now are under the category of ENOVIA where we deliver business experiences or program management, project management, costing, even for ESG reporting or CO2 reporting because that the platform has this ability in short. So we don't see the negative effect.
Nicolas David: That's very clear. And maybe one very quick follow-up from my side is, we understand that you increased salaries in order to reduce attrition a bit. But do you think that you need also to increase the volume of shares granted to employees in order to reduce further the attrition? So any insight...
Bernard Charles: I think we have -- if I can answer the Vice Chairman of the Board because that's not on the budget side, it's on the shareholder side. No, we have -- I think we have a very stable predictable portfolio of allocation. And we think that it provides a good compelling incentive for people. And we created this together model last year, which was really to provide an option for people to buy shares at a certain discount on guaranteed the result over the first certain number of years, very successful program, but we integrated that allocation as part of the overall policy. So there is no deviation, I would say. Pascal, if you want to add something.
Pascal Daloz: No, I think while you know, Nicolas, it's not the first time we discussed this. I think we are extremely -- we have a lot of discipline on this. Why so? Because if you want this to be long term and not only a one-off, you need to integrate it in the -- in your business model. If I compare with the competitors or the peers, usually, they allocate an envelope, which could be sometimes 3x bigger. However, I think it's not sustainable over the time. Especially if you look at the end, how much of the operating profit goes through this, I think, do your job, do the sanity check, you will see, it's balanced, it's fair, it's durable and sustainable. And that's basically our philosophy and our principles. So you could confound us to continue what we did in the same manner.
Nicolas David: That's clear. And congrats for the impressive set of results.
Operator: The next question comes from the line of Charles Brennan from Jefferies.
Charles Brennan: Hopefully, second time lucky. Across the industry, we're seeing this cloud momentum gather pace and it's referenced in your statement with some of your legacy customers moving to the cloud. So I was wondering if I could just ask 4 questions related to the cloud. The first of which is just in terms of your product portfolio, can you remind us how much is native cloud versus available on the cloud via extensions? Secondly, I think you've traditionally said that the move to the cloud or growth in the cloud would be largely incremental to your core business. But certainly, this morning, you were talking about product lines like ENOVIA and SOLIDWORKS moving to the cloud, those are both traditional licensed product lines. And I'm just wondering if we're starting to get to the stage where you're starting to see traditional licenses cannibalized by the cloud? Thirdly, it feels like some of your competitors are being a little bit more progressive in driving this agenda. I'm just wondering, what it would take for you to be a little bit more proactive in enforcing a shift to the cloud? You're obviously doing that in the Life Sciences vertical. I guess Rouven's well placed to manage a more progressive cloud transition. I'm just wondering, what the catalyst would be for you to go down that route? And very lastly, on M&A, I guess, traditionally, we see a bigger transaction from Dassault every couple of years. I guess we must be getting into the window where we do the next one. Should we assume that any future M&A from here will be of a cloud-based business model? And is that one of the catalysts that's going to get you to the target of having 30% of the of the revenues in the cloud?
Pascal Daloz: Well, we could do probably the rest of the call on your question, Charlie. But Bernard, you want to take the first one?
Bernard Charles: I could comment on the product portfolio on the Pascal, of course, step in. First of all, we have reached a point where -- first of all, the cloud approach for us above all is a way to reach new category of users. Second, the cloud approach for us is about providing new delivery system for the capabilities we have, roles, process and solution. Why? Having browser native services on mobile, tablets and PCs is a big thing for the nature of software we do. And the IKEA story with 4 million users in a few months is an illustration exactly of that. It's all going through browser-based, same as you mentioned, Charles, on the clinical trial, okay? But we are doing that also for design, and we are doing that. And as a matter of fact, the portfolio in short has reached a point where we are now -- there are more solutions products and rolls on the cloud native than we have on-premise. However, I want to make sure it's clear. We love the on-premise. There are programs and the on-premise will become private clouds. They will become absolutely private cloud, and we are going to do that to do so with customers. In fact, we have started to do it for highly sensitive program because the value of doing that is so well recognized by clients. So we value this hybridation to reach new audience and provide really a 3D for all approach that will make the difference on accelerate the platform phenomenon across all functions. If you think about people now doing supply negotiation, in the past, they were using ERP dashboard. Now they are looking at the product itself, and they have the price in the path. And they know where it's sourced from, it's a new world for them. We do metaverse before metaverse because they see what's happening. So enough said, but I don't see cannibalization. I see massive complementarity on that point.
Pascal Daloz: And just to echo what you say, Bernard, you were mentioning ENOVIA. Again, you still have vast time to understand what ENOVIA is about today. ENOVIA is not anymore only the product life cycle management capability. It's -- as Bernard said, it's a set of business applications, allowing the procurement to source, to cost, to negotiate, to contracts, allowing program manager to run their programs, to do their review, to manage their supply chain. This is what we are talking about, and it's an extension compared to what we used to do. So that's just an example. And on SOLIDWORKS, we are talking about the WORKS family. We are not talking only about SOLIDWORKS. And the WORKS family, you have similar works, you have DELMIAWORKS. You have ENOVIAworks. And those set of services are not well deployed in the mainstream market right now.
Bernard Charles: And by the way, on the family, they are all cloud native -- they are cloud. There is no on-premise anymore. All of them are all cloud.
Pascal Daloz: All of them. So that's the reason why it's really an extension, and it's still an expansion compared to -- there is may be some overlap, but it's quite limited. Now coming back to what could be the shift to force the subscription model. But that's not our way of thinking. We are here to serve our customers, to transform them and to evolve their business model. So what is the point to import your business model when it's not aligned with your customers' business model. Knowing at the end, the license or subscription, we are doing I mean, good profitability with both, you will notice. So I think our thinking process is much more -- the transformation of what we do will lead automatically to a subscription model for many things we do, but we want to do it in concert with a lot of alignment with our customers. That's, I think, making a big difference compared to many of our competitors. And last but not least, the question related to M&A. Yes. I mean, you notice that we will be deleveraged almost in 6 months from now, so which gives us the ability to do other move, if we want. The cloud is not, I would say, the purpose. The purpose is really to extend what we do, having the ability to expand the addressable market and maybe change the nature of what we do. For example, if we want to focus on the data centricity of our solutions and technology. For sure, the cloud is probably the way to do it. But again, it's a means, it's not the goal. So that's what I can say at this stage. It's probably too early to speak about it. And maybe, I don't know, at the time of the Capital Market Day, in June, we could probably discuss much more open to this topic.
Operator: The next question comes from the line of Jay Vleeschhouwer from Griffin Securities.
Jay Vleeschhouwer: I'll ask all my questions at the same time, just given the time remaining on the call. First, could you talk about the performance in 2021? And what your expectations might be for 2022 with respect to your, 2 principal sales channels, which you now call CSE and CPE, formally, BP and BS of course? Could you comment on those 2 channels and anything you might be doing to invest in or alter perhaps either of those channels? Secondly, one thing we see among a number of your principal competitors is an implementation of or plan to implement a faster product release cadence. We see this in -- both in CAD and PLM, for example. And I'm wondering if in lieu of your historical summer and winter releases that you've done for many, many years, there might be some rationale for accelerating your product release cadence, particularly in alignment with your cloudy business. Thirdly, on 3DX, one thing that seems to be occurring is that within the overall 3DX number, while ENOVIA seems still to be the largest part of it as it's been, other brands like CATIA V6 are growing their contribution, if you could comment on that? And whether you think that brands other than ENOVIA might eventually account for the majority of the 3DX business? And lastly, on 3DX WORKS, I understand it's still quite early, of course, only 6 quarters in market. But do you think that you have any visibility to penetrating, let's say, more than 10% of the SOLIDWORKS space with 3DX WORKS and thereby make it an increasingly material business?
Bernard Charles: A few clarifications, Pascal, if I may put. First of all, Dassault Systèmes is providing not any more functionalities, but we are providing roles, processes on industry solutions. So when we deliver roles, there is a price in the roles, there is a price on the process to do the job, and we do it by industry and industry segment. This is unique and no one of the competitors are doing that. So it's important to understand it. The second thing is -- and then I will let Pascal comment on the performance. The second remark is we do 6 weeks cadence delivery on the cloud. So Jay, please notice that for a large percentage of our installed base, we are already there. Every 6 weeks, the world is getting new capabilities, and it's working extremely well with an SLA, which is very high on providing satisfaction. Some large companies are already there. We have taken the example of [indiscernible]. It's all cloud, 100%. Renault for 3D collaborative environment with suppliers, all cloud. Every 6 weeks, it's updated. So we are already with this in a big way. All clouds are following that cadence. So I think we are faster than most of the other players from that standpoint. So just topic for clarification. On last remark, we don't count CATIA on the 3DEXPERIENCE like -- of course, Pascal and Rouven can explain more. We count CATIA for CATIA. We count DELMIA for DELMIA, each brand for what they are no matter if they are independent or if they are based on the 3DEXPERIENCE platform. So we continue to keep that integrity in the way we report. Now and last thing about the 3DEXPERIENCE WORKS, it should be noticed that outside SOLIDWORKS. Everything new is native cloud. SIMULIAworks is native cloud and only cloud for SOLIDWORKS customers. And we have also now a full suite of SOLIDWORKS function native that are delivered on a browser, and this explains the incredible success of cloud in China, believe it or not, more than in every other countries because I think in China, they have -- we have the approval to run cloud on our own licenses and really distributed in a big way. So that's all what I wanted to clarify. And Pascal, maybe you want to take some more?
Pascal Daloz: On the channel, maybe I can say a few words. So first of all, the best way to assess the performance of the channel is really to look at the incremental revenue and the license is still probably a good indicator across all the different engagement model, right? So if you follow me on this, all of them are growing higher than 20%. So when I say it's a broad-based, it's really a broad-based. And it's the -- what we call, the process channel, which has the best performance in terms of new license this year in 2021. So by -- being more close to 30% than 20%. So -- and it's not a surprise when you think about it because during the pandemic, the direct sales registered relatively well, the mainstream, the CRE also. But the process, the supply chain were really the one being under pressure, and we have been able to almost catch up the lag in 2020 -- in 2021. So I think we are relatively on a good path. To complement what Bernard said on the 3DEXPERIENCE is distributed across all the brands, you have to be a little bit careful. This is true that ENOVIA for ENOVIA almost 2/3 of the revenue of ENOVIA is 3DEXPERIENCE-based, but it's a 1/3, more than 1/3 for DELMIA, also for CATIA. So it's not the only one.
Jay Vleeschhouwer: Okay. If I may, quickly, my annual question on SOLIDWORKS unit volume. My calculation is that it looks like your 2021 SOLIDWORKS new commercial seat volume was similar to perhaps slightly better than where you were in 2019. So perhaps just around 76,000 or so. I'm not quite back to where you were in 2018 just yet.
Pascal Daloz: This is true. But with one big difference, the average seat price increase, which means we are more and more capable to enrich the package. And one of the reasons you should remember, Jay, I would say 60% of the units are coming from existing customers. So they are the ones not buying anymore the base package, they are the ones buying the full package. That's basically the reason why also you have such a growth. It's a combination of units and average in...
Bernard Charles: Value add.
Jay Vleeschhouwer: Okay. Also, by the way, thank you for the headcount and hiring comments. That's always useful insight.
Pascal Daloz: By the way, you will have a neighbor because Rouven family is still in New York for a few months, and he will probably fly to New York in the coming weeks. So that's right.
Jay Vleeschhouwer: Great. I'll pick you up at the airport, maybe later for coffee.
Operator: The next question comes from the line of Neil Steer from Redburn.
Neil Steer: I just have a couple of quick ones. The first one is just looking at sales and marketing expenses, and I suppose the OpEx cost ratios in general. Quite clearly, as we've gone through the pandemic because of travel and also hiring, you're running with sales and marketing at around about 300 to 400 basis points below where we were sort of pre-pandemic. I'm just wondering, would you expect over the next couple of years for that to pick up to closer to the sort of 29%, 30% cost ratio that we've seen in the past? Or are there structural reasons as to why, hence, for sales and marketing should be at sort of a structurally lower level? That's the first question.
Pascal Daloz: Neil, Pascal will answer to these questions. So as the Chief Operating Officer, I learned something during the pandemic. We have been capable to grow without having more resources. And believe it or not, we have increased dramatically the productivity. If I compared to '19, it's per head per salespeople, it's more than 11%. So why I'm seeing this? Because it's going to be a combination between obviously more resources because we need to reinforce the coverage we have in certain regions of the world or certain verticals. But at the same time, I still believing we still have -- we still can continue to improve the productivity, maybe but not at this level every year, but at least a few percentage points, it's probably something we could be able to achieve. So -- and this will give probably the ability for us to finance a different go-to-market because you -- we are talking about the traditional one, but there are activities where we need to invest because it's a different way to go-to-market and still under a unique and we still need to invest. So the net is, it will not be maybe -- we do not have a big difference. However, we have some lever to extend the different nature of the go-to-market we have. That's probably the way -- yes.
Neil Steer: So just to clarify, are you suggesting that we will see quite a -- over the next couple of years, sales and marketing cost ratio will go back up, but perhaps not back up to the 30% level? Or are you suggesting it's more sustainable at the sort of 25%, 26% level?
Pascal Daloz: No, no, it will increase because as I say to you, we did not hire almost 1 single person H1 last year. I mean, it's not sustainable. However, if you do the math, you have to include some productivity effects because we had some productivity in the last 2 years. And now it's part of my duty to make sure that we grow the coverage. But at the same time, we are also improving the productivity.
Neil Steer: Okay. And just zeroing in on Life Sciences. Obviously, taking a little bit commentary together with regards to the growth in Medidata and so forth. It looks as though the softness that you saw in Q4 was quite clearly with the sort of the original Accelrys businesses. Is that a little bit surprising? That's more on the discovery side, I think their product set. And have you actually signed the deferral there? Or is that sort of if you like, a permanent deferral and you'll never fully recover that revenue as we go through the 2022 year?
Bernard Charles: Rouven?
Rouven Bergmann: Yes. Happy to. So the impact that we had in the fourth quarter is temporary. These are 2 renewals that we are actively working on to close in I would say, early 2022. It could be the first quarter. It could be the second quarter. These are 2 major customers of ours where we have established relationships, and it's only a question of time. I think the other part that I would like to add to the BIOVIA business as well in Life Sciences, we are also progressively transforming BIOVIA towards a more subscription model than what it used to be because it was heavily dependent on licenses, and that creates some variability from time to time. So that's another factor that we will talk about throughout 2022.
François-José Bordonado: One final question. Please go on Nadia.
Operator: Yes, of course. The last final question comes from line of Jason Celino from KBCM.
Jason Celino: Just a couple of quick ones on a couple of the brands. First, on SIMULIA, it's nice to see double-digit growth there. It's been doing quite well for the past few quarters from what I can remember. So my question here is, is the strength we're seeing from share gains versus simulation competitor market? Or is it more broader industry strength recovery from that?
Bernard Charles: SIMULIA, I think what is -- there are 2 major factors where basically, we create a game changer situation. Number one, on the SOLIDWORKS installed base customer were used to use our competitor product on desktop. And now we are offering cloud-based SIMULIA, extremely successful, easier to provision and to put in operation, and it has created a very nice dynamic in the -- what we call the Work Summit and Gian Paolo is doing a very great job, Gian Paolo Bassi on this topic. In fact, he's going to work on the full WORKS family and not only SOLIDWORKS, and we have just announced that the new CEO of SOLIDWORKS is Manish Kumar, but Gian Paolo is taking the full scope responsibility for 3DEXPERIENCE WORKS -- that's 1 driver. And the second one is multiphysic platform-based integration, which is connecting the PowerFLOW, the EMAG, the stress on all of this together in a consistent environment, and we see a lot of customers moving from isolated simulation to integrated system simulation. I think it sounds unstoppable in my mind, and we have plenty of opportunities to continue to sustain a strong growth in this area.
Jason Celino: Perfect. And then maybe one quick final one. SOLIDWORKS, maybe earlier in 2021 had some pretty robust growth possibly from the pent-up demand. This quarter, 8% growth feels quite good, normal, maybe close to what we were seeing pre-pandemic. Is that the right way to think about the SOLIDWORKS business normalizing from these levels?
Pascal Daloz: I think so, you're right. I mean, if you remember, SOLIDWORKS was really the first product line to recover. And there is no base effects compared to last year. And the 8%, 8% to 9% is a good number.
Bernard Charles: Thank you, everyone, for participating. It's always a great pleasure to exchange with you and advice your questions. So you know that Pascal and Rouven are now committed to do road shows and visit you as quickly as possible, as soon as possible or not fully face to face. With that, thank you very much. Enjoy your day, and talk to you soon.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect. Have a nice day.